Operator: Good morning, and welcome to American Hotel Income Properties REIT LP's Fourth Quarter Results Conference Call. [Operator Instructions] Before beginning the call, AHIP would like to remind listeners that the following discussion will include forward-looking information within the meaning of applicable Canadian securities laws, which forward-looking information is qualified by this statement. Comments that are not a statement of fact, including projections of future earnings, revenue, income and FFO are considered forward-looking. Participants on this call should not place undue reliance on such information, which is provided based on management's expectations and assumptions as of the date of this call. AHIP does not undertake any obligation to publicly update such forward information to reflect subsequent events or circumstances, except as required by law. On this call, AHIP will discuss certain non-IFRS financial measures. For the definition of these non-IFRS financial measures, the most directly comparable IFRS financial measures and a reconciliation between the 2, please refer to the MD&A. References to prior year operating results are a comparison of AHIP's portfolio of 49 properties' results in the period versus the same properties' results today. All figures discussed on today's call are in U.S. dollars, unless otherwise indicated. A replay of this call will be available on AHIP's website. Discussing AHIP's performance today are Jonathan Korol, Chief Executive Officer; Bruce Pittet, Chief Operating Officer; and Travis Beatty, Chief Financial Officer. I will now turn the call over to Jonathan Korol, Chief Executive Officer.
Jonathan Korol: Thank you, operator, and thanks, everyone, for joining us today for our fourth quarter and full year 2024 financial results conference call. AHIP's current portfolio of 49 hotels continues to demonstrate strong top line performance. For the year, total revenue grew by 5% and RevPAR finished at $98, a 4.5% improvement over fiscal year 2023. This increase was driven by both occupancy and ADR growth with broad demand for Leisure, Corporate and Group Guest segments. Revenue for the quarter was also up 5% year-over-year. Margins continued to face pressures due to high labor and operating costs throughout the year. NOI margin decreased by 45 basis points to 30.6% for the year compared to 2023. In the fourth quarter, NOI margin was down about 30 basis points to 26.3% compared to the same period in 2023. High levels of employee turnover, inconsistent operating performance at the asset level and elevated undistributed expenses also continued to negatively impact the bottom line. However, we have seen rooms costs and productivity continuing to stabilize and dependency on contract labor has been in a downward trajectory. We remain focused on cost control initiatives across the portfolio and believe that we are making progress in this regard. Next, I want to highlight the tremendous progress we've made on our disposition program in 2024. During the year, we completed the disposition of 16 properties for total gross proceeds of $165.2 million. After adjusting for an industry standard 4% FF&E reserve, the combined sales price for the 16 properties sold in 2024 represents a blended cap rate of 7% on 2023 annual hotel EBITDA. Furthermore, we completed the dispositions of three additional hotel properties for total gross proceeds of $41.2 million earlier this month and have eight more properties under purchase and sales agreements for its estimated total gross proceeds of $32.3 million. As a reminder, AHIP's disposition efforts have mainly focused on low EBITDA, high near-term CapEx properties in markets with new supply and low demand growth. These assets are in a reflection of AHIP's core portfolio. Leverage reduction remains a top priority for us, and AHIP intends to use the net proceeds from these dispositions to repay mortgage debt. In 2024, we reduced debt to gross book value by 610 basis points across the portfolio and debt to trailing 12 months EBITDA has come down by around 2.5 turns, indicating significant progress on this front. We will continue to execute on our strategy to divest assets to reduce debt and are currently marketing a select number of additional properties, which are expected to further demonstrate value above our current unit trading price. AHIP's Board and management team continue to advance our plan to improve cash position, enhance financial stability and protect long-term value for our unitholders. As previously mentioned, in 2024, AHIP made significant progress on our plan to address upcoming debt obligations with asset sales and loan refinancings. In addition to the aforementioned disposition efforts, subsequent to year-end, we completed two refinancings for initial total gross proceeds of $144.3 million, which resulted in the full repayment of our senior credit facility. Our next loan maturity isn't until the fourth quarter of 2026, assuming the property is currently under contract for sale close as expected. These steps have strengthened our liquidity and balance sheet and put us in a position to benefit as the industry operating and macroeconomic environment improves. In December 2024, the TSX accepted AHIP's notice of intention to make a normal course issuer bid. The notice provides that we may during the 12-month period commencing December 30, 2024, and ending December 29, 2025, purchase up to around 7.5 million units, representing 10% of the public float. We believe that our units are currently trading well below their underlying value. As of yesterday, we had purchased around 1.3 million units for gross proceeds of $0.9 million, which results in an average purchase price of CAD 0.69. I'll now turn over the -- turn the call over to Bruce to discuss fourth quarter and full year hotel operations. Travis will then highlight key financial metrics. Bruce?
Bruce Pittet: Thank you, Jonathan, and good morning, everyone. Looking at full year 2024, AHIP's 49 hotels' RevPAR growth was 4.5%, although we began to see revenue growth slow in the back half of the year, with RevPAR growing at 3.5% versus [technical difficulty] for the six months of 2024. For the full year, occupancy was the catalyst for growth, up 3.3% year-over-year while ADR growth slowed from the prior year and was up 1.1%. Slowing revenue growth, coupled with continued cost pressures resulted in margins being slightly down on a year-over-year basis. For the year, total revenue increased by $10 million or 5% compared to 2023 on a same-store basis. Broadly, in 2024, and we saw year-over-year demand improvements in retail and discount segments with corporate negotiated and group segments also showing improvement. The government and contract segments saw demand decline in 2024. For full year 2024, our 49 hotels had an occupancy average of 72% or 103% of 2023 levels. For Q4, occupancy was 70% or 3% above the same period in 2023. As mentioned, ADR growth slowed in 2024 after being the primary driver of RevPAR growth the past few years. ADR for our 49 hotels finished at $136 for the fiscal year 2024, up 1.1% compared to 2023. For the quarter, ADR was $131 or 1% versus the same period in 2023. As mentioned, 2024 RevPAR finished up 4.5% or at $98 versus 2023. RevPAR for the quarter was up 5% year-over-year to $92. We referenced three distinct segments of our business: Extended Stay, Select Service and our Embassy Suites hotels. Portfolio revenue growth of 2024 was driven by the Extended Stay and Select Service verticals. During 2024, Extended Stay was the strongest performing vertical in the AHIP portfolio with RevPAR finishing at $101 or up 8% versus fiscal year 2023. The Select Service segment achieved a RevPAR of $94. This represents 5% growth over fiscal year 2023. The Embassy Suites segment, which was our strongest performer throughout 2023, and achieved a RevPAR of $103, down 3% year-over-year. For full year 2024, AHIP's portfolio of 49 hotels had a RevPAR index of 116.1 in aggregate, continuing to perform well against our competitive sets. The continued elevated operating expense environment impacted margin performance throughout 2024. For our portfolio of 49 assets, NOI margin finished at 30.6%, approximately 45 basis points below full year 2023. For the quarter, NOI margin was at 99% of Q4 2023. In 2024, we began to see rooms expenses stabilize, Specifically, we are seeing expenses moderating in key areas such as rooms wage growth with the average hourly rate up [82%] versus last year. Inflationary cost impacts were easing throughout the year, positively impacting cost of operating supplies in food. Additionally, we saw a sharp decline in the use of third-party labor in 2024 compared to the prior year, with third-party full-time equivalents down approximately 58% from the end of 2023, helping stabilize rooms department costs and improving housekeeping efficiency. While rooms costs saw some improvement, undistributed expenses, particularly in the labor category experienced a sharp increase. This increase was related to vacant positions in 2023 being filled in 2024, high turnover in hotel management positions and increased repairs and maintenance costs. We continue to focus on margin improvement initiatives with our hotel manager with an emphasis on reducing turnover and improving employee retention, especially in hotel leadership positions, improving housekeeping productivity while increasing levels of in-house employment and looking for opportunities to stabilize the cost pressures seen in undistributed expenses in 2024. Turning to AHIP's capital program. Total FF&E spend for the year was $9.8 million or $3.2 million net of escrow recoveries. Full year 2024 PIP spend was $866,000 related to the completion of a PIP in Connecticut and closeout expenses from projects in 2023. 92% of PIP proceeds -- excuse me, 92% of PIP proceeds were paid for out of AHIP's treasury. The 2025 capital plan is estimated to include $6.9 million of PIPs and $7.5 million of FF&E improvements, which will be funded by restricted cash accounts, and cash flow from operating activities. And with that update on our hotel operations, I'll now turn the call over to Travis to highlight key financial and capital metrics for the year and for the fourth quarter.
Travis Beatty: Thanks, Bruce. Good morning, everyone. I would like to start by addressing the delay in releasing our year-end results and the related restatement of prior periods. These restatements are the result of the deconsolidation of subsidiaries holding properties and related loans associated with loan defaults that occurred in the fourth quarter of 2023, one hotel, and the first quarter of 2024 a 4-hotel portfolio. These hotel properties were ultimately placed into foreclosure processes. Although we had previously ceased to recognize revenue and expense, these are statements primarily relate to the derecognition of the asset and liabilities. The impact from the derecognition on the book value of capital attributable to unitholders is minimal, approximately 1% in 2023 and 2% in the third quarter of 2024. On a regular financial results, our same-store basis revenue increased by 5% to $211 million in 2024 compared to $201 million in 2023. For the quarter, revenue finished at $50 million, up 5% year-over-year. Normalized diluted funds from operation or FFO was $0.19 per unit for the year and nil for the quarter compared to normalized FFO of 36% -- $0.36 per unit in the fiscal year 2023. At December 31, 2024, AHIP had $43 million in available liquidity, comprised of an unrestricted cash balance of $28 million and borrowing availability of $15 million under the revolving credit facility. AHIP had additional restricted cash of $30 million at year-end. At the end of the first quarter, AHIP had an unrestricted cash balance of approximately $13 million and a restricted cash balance of approximately $29 million. Debt to gross book value at December 31, 2024, was 46%, a decrease of 610 basis points compared to the prior year. Debt to EBITDA at December 31, 2024, was 8x, a decrease of 2.5x compared to the prior year. The improvement in debt to gross book value and debt-to-EBITDA was due to the use of the net proceeds from the completed dispositions to pay down CMBS mortgage debt as well as loans governed by the revolving credit facility. Subsequent to year-end, we completed the CMBS refinancing for five hotel properties with total gross proceeds of $43 million. This CMBS loan has a five year term and bears interest at a fixed annual interest rates of 7.63%. Four of the five hotel properties secured by the CMBS loan were borrowing based properties connected to our credit facility and the fifth hotel property was unencumbered prior to the completion of this loan. In March, AHIP completed a nonrecourse debt refinancing and repayment in full of its revolving credit facility. The initial gross proceeds on this loan were $85 million, secured against 11 hotel properties with additional advances of $41 million available, comprised of $16 million upon the addition of a further hotel property, which is now complete and up to $25 million for renovations and improvements to these 12 hotel properties. The portfolio loan bears interest at SOFR plus 4.65% and has a 2-year term with the option to extend the term for another 1-year period. To summarize, so far in 2025, we successfully completed these refinancings for total gross proceeds of $144 million, which has resulted in the full repayment of our senior credit facility. This has improved our balance sheet and resulted in fewer covenants and longer loan duration. We have no further debt maturities until the fourth quarter of 2026, and our leverage metrics continue to improve. I'll now turn the call back to Jonathan for some closing remarks.
Jonathan Korol: [technical difficulty] for the past plan we announced at the end of 2023, which has addressed near-term obligations and strengthened our balance sheet to ensure that we are positioned to outperform when the operating and macroeconomic environment improves for the industry. I remain confident in our business model, and we will continue to execute on our previously communicated strategy in 2025. So with that overview of our full year and fourth quarter results, we'll now open the call to questions. Operator?
Operator: [Operator Instructions] Our first question will come from the line of Romel Sabat from Scotiabank. Your line is open.
Romel Sabat: Hi. Thank you for taking the question. So with your debt refinancing now largely executed, what is the reasonable range of additional asset disposition that you're contemplating in 2025?
Jonathan Korol: I think you'll see us look at dispositions opportunistically, Romel. As mentioned, we've got eight hotels currently under contract with closing expected in -- at the end of April 2024 -- sorry, end of April 2025. And we're also opportunistically looking at a few other properties. As you can tell by the numbers that we're getting on these individual asset sales, they're quite compelling compared to our implied -- or our trading price. And I think it's our duty to continue to monitor the market and sell when and where appropriate.
Romel Sabat: Okay. It makes sense. I just want to switch gear to the U.S. tariff situation. So can you talk a little bit about the type of margin impact that you could be experiencing under a global blanket 20% U.S. tariff implementation? And what are your...
Bruce Pittet: Romel, it's Bruce. It's a little early to tell, quite frankly. One of the things that I guess I'd say we have going for us. And most of our operating supplies et cetera, are all contracted. And we have firm pricing contracts through our manager on numerous things. So I think it will start to become more evident to us as those contracts expired and need to be renewed. But in the short term, we're not expecting to see significant impacts from tariffs.
Romel Sabat: Okay. Makes sense. Can you elaborate on how long those contracts are fixed for?
Bruce Pittet: Yes, that's a fair question, and it varies. Some of those contracts are three or six months, others are 12 months or two years. It really depends on the item and that sort of a thing. So I think as we get into Q3, we'll probably be able to provide some stronger guidance there, but this is certainly a conversation we're having with our manager with some frequency.
Romel Sabat: Yes. Okay. That makes sense. Thank you for your answer. Just to continue on that point, last question for me. What impacts, if any, have you seen already from reduced leisure or corporate travel coming into the U.S. as a result of the tariff policies volatility?
Bruce Pittet: Yes. So a couple of things as a reminder about our portfolio, right? We're not really hotel properties that cater to inbound folks coming into the United States. Our hotels are more domestic-oriented or even regionally oriented as far as the customers they have. So I would say to date, there's been no impact. I think the impacts will come in more like the larger the 25 -- the top 25 markets in the United States or maybe even states like Florida and California. But for us to date, there's been no impact.
Romel Sabat: Okay. Makes sense. Thank you for your answers. That's it for me.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Dean Wilkinson from CIBC. Your line is open.
Dean Wilkinson: Thanks. Hi, everyone. Maybe this is Travis. Just want to confirm the $109-and-change million that was in cash management at the end of the year, I believe that was three loans. Is that still the situation? Or did any of that get cleared up with the subsequent financing, Travis?
Travis Beatty: None of it got -- no, none of it was part of the refis.
Dean Wilkinson: Okay, perfect. Simple.
Jonathan Korol: Just a question. One clarification there, Dean, sorry. About $45 million of that was cleared up by a subsequent sale, one of the Q1 sales that we referred to, and so that -- you can take that number and reduce it by $40-some million.
Dean Wilkinson: Got it. Yes, yes. Perfect. Okay. I know it's in front of the courts and you might not be able to get into it, but just the ongoing dispute with the manager. If the court does side with your January motion or the declaration that the HMAs are terminated, where would that leave you in terms of the management? And are there any implications vis-a-vis requiring that to be external from a REIT perspective?
Jonathan Korol: Well, yes, we would continue to comply with standard REIT rules, which would suggest that our manager would be an external manager, and we'd look for a replacement manager if that was indeed the decision of the court or between the two parties. But this is an ongoing matter. We're continuing to be -- to work closely with Aimbridge to ensure that nothing gets dropped here in terms of managing these hotels. And we'll let the court process unfold.
Dean Wilkinson: Okay. Fair enough. And then the last question, just around the notices, red zone or whatever it was from the Marriott. What's the nature of sort of the default there? Is it sort of -- is it property? Or is it operational? What's the remedy and what would the cost be associated with getting those back on site?
Jonathan Korol: The -- what you're referring to is a typical QA audit that occurs at the hotel level when the brands or the franchisors in this case do their regular inspection. And what we're talking about is our deficiencies related to operational items i.e., not fulfilling certain staff training, not meeting certain standards in terms of headcount. And we're working with the brands to ensure that those -- what they pointed out, those items have been mitigated. But in terms of the nature, you used the word default, the nature of those are what I would characterize as nonmonetary or technical defaults, which we typically end up curing in subsequent quarters. It typically takes two quarters of the cure for it to become effective.
Dean Wilkinson: Okay. So just -- it's a service standard issue, not a physical property component related to that, right?
Jonathan Korol: In this case, the majority of them -- well, we just have a few of them, but the majority relate to what I was talking about operational labor issue.
Dean Wilkinson: Okay. That's all I had. Thanks, guys. Appreciate it.
Jonathan Korol: Thanks, Dean.
Operator: Thank you. I'm not showing any further questions in the queue. I would now like to turn it over to Jonathan Korol for any closing remarks.
Jonathan Korol: Thanks again, everyone, for joining us on our call today, and we look forward to speaking with you in May when we report our first quarter 2025 results.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.